Olaf Scholz: Good afternoon, and a warm welcome from my side. My name is Olaf Scholz, Head of Investor Relations here at Krones. We have presented, this morning, our preliminary figures for the fiscal year '25. So Krones continued profitable growth in '25, and we forecast also a further revenue and profitable growth for '26. Next to me is Christoph Klenk and Uta Anders, they will give you more details about these figures and also additional information. And we will also talk about the '26 targets. After the presentation, you will have the opportunity to ask questions. I think you also know how the Q&A session works. Please use the function raise your hand in Teams or send me a short e-mail, and then I will hand over to you. Additionally, please be reminded that this meeting will not be recorded and that is also not allowed to record the meeting. Please also deactivate any functions of recording at Teams. So I think we can start with the presentation, and I will hand over to Christoph Klenk, CEO of Krones.
Christoph Klenk: Yes, Olaf, thank you. Warm welcome, ladies and gentlemen, on behalf of Uta and myself to our preliminary figures for 2025 and of course, to how we see 2026 and looking forward then in, of course, answering your questions. I will skip, as always, I would say, the beginning of the slides because this has been actually working as a summary for you that you can see all in a condensed way. And here even over the numbers, I will skip because we go in detail anyway. I can say if we see here the numbers at the end of 2025 and seeing the results we are extremely happy. Before I continue, I want to extend a big thank you to the Krones team globally. So 21,000 people having made this success possible because we're dealing with 160 countries around the globe and quite complex lines and businesses. And once somebody is failing, some projects are failing totally. So everybody is important in our team, and that's why we are so thankful that we have achieved those numbers with the team together. Before I go ahead, we had various challenges in 2025. I just want to name them, not all of them because then we would stand here an hour, but at least 3 of them. First of all, is Middle East because we all forgot that in the beginning of the year, Middle East was pretty much under pressure with the strike of Israel and the United States in Iran, which actually affected the whole region. Then of course, we had the tariff issues during the year and should not forget that FX issues will affect and has affected our businesses as well. On the other side, we had a highlight with Drinktec. You have been all being invited to that, seeing the Ingenic line and what we are doing with that into the services we are delivering. And of course, with Prefero, the Netstal acquisition and the, let me say, combination of the Netstal Maschinen and the Krones Maschinen. So that's the highlights. And again, thanks to our team that all those things have been working out. Yes, numbers you see here, and these are the green tick marks that we have actually achieved what we have promised, and that's the most important thing for us, for Uta and myself that we once again have been robust in the statements we have made and that we have been achieving our targets. From this on, jumping into more details, order intake. I mean, we have said all the time that order intake will be around 1 with the book-to-bill ratio, and this is actually what we have achieved. Yes, we have been -- and this is very obvious, we have been short EUR 100 million with order intake in comparison with the sales we have done. But nevertheless, I would like to put that into context what we have seen in 2025. As said in the beginning, I mean, the beginning of the year, Middle East was a bit shaky because of what I have said earlier. Then, of course, we had a tariff issue, which I'm reflecting later on when we go to the split into the regions, how this affected North America, but this has been 2 challenges. And number three, and this is on the positive note, this is very important for us that we have maintained price stability. I mean, for those of you knowing us for a longer period of time, in particular those times before COVID, pricing was all the time an issue. And since I would say the -- let me say, the markets are a bit more under pressure than before. For us, it was very important that we kept a very close eye on pricing and we kept price stability. Some of those let me say, actions have been that we have been losing some of the orders just to make sure that the signal into the market is crystal clear. That's the remark I wanted to do here. If we look to 2026 because Uta and myself, we have agreed on that once we go through the presentation here, we give you all the time, let me say, the view in 2026, of course, you will see a summary at the end. But as you have seen, book-to-bill ratio in 2025, around 1, which is actually 0.98, if you put it exactly on it, the EUR 100 million short, I'm just saying, we are looking about a book-to-bill ratio slightly above 1 for 2026. So that means we will be higher than sales, and we will have in order intake a higher growth than we will have in sales. So that's the statement we are doing. And this is based, of course, always on, let me say, our interviews we have done with our customers by late 2025. And I would say what we see right now in the market looks good for Q1 to confirm what I have just said. So that's for order intake, and I assume you will have later on certainly more questions to it. Order backlog, yes, that has decreased slightly, but only slightly, and this has been on purpose because our point was our delivery times have been too long. Fortunately, we have been able to decrease that to around 40 weeks right now. And in particular, let me say, orders, we are even going further down. So we have shortened that. And we can say that as of today, we don't lose orders because of delivery times. So we have been arrived into the competitive landscape again on where we should be, and that's important for us that this is not a reason that we are going to lose orders. On the other side, it actually provides a very nice and stable fundament for the, let me say, economical development of Krones in 2026. So we are well booked into the third quarter. So very important for us because that gives us the visibility on our statements. But more to say again, by purpose, we are happy to decrease that because we need short delivery times. Now from the market perspective, how do we see things? Number one, we see customers behaving slightly different than what we have seen in the past. I would assume that might be something for Q&A later on once you want to know more details about that. But basically, if you look to the split of the regions, and this is actually sales, it's not order intake. You might see that on the left-hand side that North and Central America in terms of percentage is going significantly down. However, if you look to the absolute numbers, we maintain a quite stable level on sales in North America and roughly -- I mean it's easy to calculate, it's EUR 1.2 billion. So all 3 numbers are reflecting EUR 1.2 billion, and that has to do with the growth of the other regions. And of course, I named it earlier at the beginning based on FX reasons we have in that. So that's one thing. If you look to pure order intake in North America 2025, that was decreasing, in fact, by 10%. Of course, in the second half of the year, influenced by the tariffs. But important for you to know, we plan on, let me say, the levels we had seen the year before last in terms of order intake for 2026 because what we see from our customers since the shock of the tariffs have been going away, the business cases are still even including the tariffs intact. I think we can talk certainly more about that in the future or in the Q&A. Second, what is to remark here, even as South America looks pretty good in sales, we have missed the targets there. We had higher expectation into South America. So this was not going too well, to be honest with you. So this is one critical aspect for 2025. And if you look to Asia Pacific, that has been going down into sales and in order intake. So that as well a critical development in 2025. But now the good news comes for all of the 3 markets, North America and Central America, South America and Asia Pacific, we do assume that 2026 will perform better, and we are looking into achieving our targets for 2026. And this, again, because many projects has been postponed are still active, not lost. And that's the reason why we have hope into those markets. And we will see, from our point of view, a good development in 2026. Remarkable, Europe and Middle East, Africa, both of them in sales and in order intake have been growing significantly. And in particular, Middle East and Africa have helped to overcome the shortage in order intake in North America. And even China from the order intake numbers is an increase in 2026. Sales is declining a bit in the sense of generating revenue, but we are on a good path in terms of order intake. And last but not least, you see Central Asia and Eastern Europe is doing quite well as well. So even good on track here. So that's from, let me say, the markets, the order intake and where we are with that. And with that, I'm going to hand over to Uta.
Uta Anders: Thank you, Christoph. Yes. Good afternoon to all of you also from my side. I mean, as always, I will start with revenue development. I mean you have seen it already in our press release, but let me just give you some additional comments also from my side. I mean we said 7% growth. So we are within our guidance of 7% to 9%. And we have mentioned or Christoph has mentioned it earlier already in that 7% is a EUR 99 million effect just coming from currency translation. That was mainly in Q3 and Q4. We didn't see it so much at the beginning of the fiscal year. That's why also we didn't put too much emphasis at the beginning of the fiscal year on it. But if you look now at the whole fiscal year, EUR 99 million is quite an effect. And if we took that out, we would have been -- or we would have recorded a growth rate of 8.9%. Yes, Q4, I mean, we had always said for both order intake and revenue, Q4 will be strong with EUR 1.556 billion. It was strong 9.7% growth compared to 2024. So also there within our expectations. I mean, as Christoph has mentioned, we will highlight already on those slides, on the individual slides, our expectation, our guidance for 2026. Our expectation for 2026 is a growth -- a revenue growth of 3% to 5%, and this is important adjusted for currency translation effects. I mean it's the first time that we are guiding this way. Not only I know that I mean, we also saw, as I said earlier, EUR 99 million is quite a high number for '25, and we expect a similar number for '26. So that's why we believe it's only fair to take that out in our guidance or guide this way. Moving on with EBITDA, EUR 602.3 million. I mean we are not so much into superlatives, but let's say, it's the highest number we have ever recognized. So we are proud on behalf of our team that we have achieved that. And you can see 12.2% growth. So absolute numbers growth compared to '24. And I mean speaking about margin, you can see the 10.6%, so 0.5 percentage point compared to 2024. And we are with that within our guidance of 10.2% to 10.8%. And yes, I'm sure you all have calculated Q4 which was an 11% margin. So versus a 10.3% Q4 2024. And for 2026, I mean, the headline of our press release has stated it already. We continue growth both in top line but also in margin. So that's why our expectation, our guidance is 10.7% to 11.1% for 2026. Moving on with EBT, very similar development to what I had said already for EBITDA. I mean, if we look at the absolute number, EUR 424.1 million,7.5% margin. And I already want to say it at this point, I'm sure a lot of you have calculated the difference between EBITDA and EBT, which is a little bit in terms of growth, lower. So I mean, we had higher depreciation in '25 and also the interest result was a little bit lower because we had special effects in '24. But I'm sure we'll come to that also later in the Q&A. Personnel and material expense, yes. Starting with personnel cost, I mean, you can see that we have increased it by EUR 125 million, which is, I mean, that's logical because of the additional FTE, which we will see in one of the next slides, but also the overall cost increase in payroll per person in general. Important for us, and you know that we have highlighted that also throughout the calls in the fiscal year, 30.1%, so very close to our 30%, which is an orientation for us as payroll, personnel cost as a result of total performance. Material costs, yes, very positive development, as we can see. I mean, overall, we only increased material cost by EUR 110 million. So -- and that brought us then also down to 47.8% material cost ratio, so well below all other years, which is just the result also of the good work of our purchasing team. I already spoke about employees very shortly. I mean you can calculate it yourself. We have an increase by 962 coming to 21,339 employees. So what makes up the difference of the 962? 1/4 of it is service technicians. Then we have some, but that's not 3 digit. So mid-2-digit increase because of M&A. You remember, we have bought CSW. And the rest of the increase is across the globe, as I always say, and also across the functions, also with emphasis, of course, focus on digitalization and IT. Important for us also is, I mean, looking at the ratio of the German workforce in total that is 55.0% compared to 55.5% last year. And also to mention, you can read it in the headline, 1,600 employees in the United States. Now coming to the segments, yes, I mean, for Filling and Packaging Technology, the story is always very similar to Krones in total because it is the largest segment. So I mean, with our EUR 4.774 billion revenue, we had a growth of 7.2%, also here effected or impacted by FX. We have met the guidance 7% to 9%, which is important for us. And we also here had a very strong fourth quarter, EUR 1.294 billion revenue. Looking at absolute EBITDA and margin, you can see EUR 517.8 million and a margin of 10.8%. So also here well within our guidance, which we had given of 10.5% to 11.0% and Q4 was 11.2%. Speaking about guidance, yes, for 2026, we expect revenue growth by 2% to 4% adjusted for currency translation effects and an EBITDA margin of 11% to 11.5%. Moving on to Process Technology. I mean, EUR 514 million revenue, it's a growth by 1.2%. Our guidance was 0% to 5%. So we have met our guidance here as well. Very slight currency translation effects, but as I said, not major. Speaking or coming to EBITDA, you can see at EUR 52.9 million. So another positive development here. And also if we look at the margin, 10.3%. Our guidance was 9% to 10%. So a very positive development also because you know that on the growth side, we are lacking turnkey projects, but that on the other side is beneficial also for the margin. Speaking about guidance, same guidance as we had it for '25, 0% to 5%, a 9% to 10% EBITDA margin. Intralogistics, EUR 376 million revenue, you can see EUR 44 million more than 2024, which is a growth by 13.2%. Adjusted for currency translation effects, it was 14.9%. So very, very close to our 15% to 20% guidance, which we had given. Looking at EBITDA and margin, yes, also if we look longer term, a very positive development here. Overall, 31.6% as an absolute figure, but also 8.4% as the number, which is also a result. You remember that we had said on the CMD that we are having smaller projects, but also new products, which we brought into the market also then with higher margins. And for 2026, growth of 5% to 10% and EBITDA margin of 7.5% to 8.5%. So far for our P&L. Now let's look into our balance sheet and everything which is related to that. I want to start with cash and liquidity. I mean you have seen it already on the first slide. We had a very good cash flow in the fourth quarter again and overall a very good cash flow of EUR 283 million, which brought us then to a cash of EUR 549 million, which was above our expectations. And with free credit lines and used ones, you can see the number, EUR 1.437 billion liquidity. So very solid to manage global economic volatility as also the headline states. Now coming to the right side of the picture, I mean, you see that we have increased equity by EUR 206 million to EUR 2.128 billion. And the EUR 206 million, of course, is the result of EUR 299 million net income, paying out the dividends of EUR 82 million and then a small miscellaneous change brings us to the EUR 2.128 billion, and it's an increase by 11% compared to December '24. And because the total of assets liability only increased by 6%, we increased our ratio to 42.2%. Yes. And of course, I mean, good cash flow, very good cash flow is reflected in stable working capital development, 17.3%. So very much in line with what we had last year, so '24 below our 20% or also 18%, which we have as a hallmark also for the future. And then looking where it comes from, I mean, received prepayments, you see that with 15.6%, this is 2 percentage points lower than we had at end of '24. But if we look at the overall number, it is still about EUR 900 million as we had it also '24. Now looking at inventory, also stable here as an absolute number. And that's why also the ratio decreased slightly to 12.5%, EUR 700 million approximately is the absolute number. And now accounts payable, yes, 15.5%. So on the level as we had at '24. And here, we had an increase in the absolute number, which, of course, then leads to a stable ratio. Receivables, contract assets as last number, a slight decrease, 1 percentage point. If I look at the overall number, also slight decrease -- a slight increase, close to EUR 2 billion we are here now. And if I look at the total working capital, you don't see that number on the slide, EUR 80 million increase. But we see that number on the next slide as change in working capital. But let's start, first of all, with free cash flow in general. We have mentioned that already a few times throughout this call, EUR 282.9 million. So above our expectations because we had a very strong fourth quarter again as we have it usually. And if we look where does it come from or where does the free cash flow before M&A come from, of course, first of all, earnings development, other noncash changes, which is mainly depreciation and then change in working capital, I already mentioned. Other assets and liabilities, the major or the bulk in that is tax payments, EUR 111 million, so income tax payments. And some of you may wonder why that is so much higher than it was in '24. '24, we had some consolidation effects from Netstal included. So that's why it's not 100% comparable. So cash flow from operating activities, very solid, very good with EUR 446 million. And CapEx, EUR 185 million, so 3.3% so slightly below our 4% and then other, which is smaller things, bringing us to our free cash flow without M&A. M&A activities in 2025, you remember Q3 CSW acquisition, that was the largest in here. And then financing activities, other, that is mainly the payout of the dividend of EUR 82 million and then some lease payments. And then you can read it yourself, change in cash, bringing us to our cash of EUR 550 million. Free cash flow as an overview over many years and also then slightly shown what our expectation for '26, yes, we're always a little bit more cautious. Yes, Christoph is smiling because it's always a kind of discussion on how high is the bar. I'm sure that some of you will also measure the bar and have a number there. But what is our message here? Our message is here, we also expect for '26 a solid and a good free cash flow. That's our message. And last but not least, for 2026 -- 2025, of course, ROCE 19.1%, yes, it's logical. EBT increased by 13%. Average capital employed increased only by 8%. So that's why our ROCE increased by 0.9 percentage points to 19.1%. And also to give you the absolute numbers, EBT EUR [ 470 ] million and average capital employed close to EUR 2.2 billion. Yes. So far for the actuals. And now let's just summarize one more time the outlook for 2026. I mean I have mentioned all those numbers already throughout the call, but already -- one more time here as a summary, 3% to 5% revenue growth. Important is the asterisk, adjusted for currency translation effects, EBITDA margin, 10.7% to 11.1% and ROCE, 19% to 20%. And of course, we have the usual disclaimers. And actually, we have added here also reliability of forecasting revenue is impacted because of the volatility of exchange rate. But that's why we have adjusted it in the revenue growth guidance. And for the segments, also here, the summary one more time. I have mentioned all of them already throughout my presentation. So that's why I will not read them out one more time. And that is everything from my side for the presentation.
Christoph Klenk: Yes. All right. So let's have -- so let's have a look on the midterm targets. And since we have this morning several interviews with newspapers and journalists, I thought I should give a bit more of a taste on it because if you look to the planned revenue in 2026, you might ask the question, is that target still valid? And I can say it's still valid. And I just want to give some highlights on that. First of all, as we say that always here, we are not talking only with our customers about their 1-year investments. We are even talking about their 3 years investments and how markets might develop into the future. No security on that, but at least we have a pretty good understanding about possible investments in the different regions. So that's one thing. And the investment cases are pretty robust. I mean that you see when you see what, let me say, hurdles we had in the world economy, in the geopolitics in 2025 and still the order intake was good. Then we have our basic growth drivers intact. I don't want to repeat them in detail, is growth of world population, particularly in Asia and Africa and Middle East. It's definitely escaping from poverty in many areas of the world of the people. Then it's in the mature economics. It's definitely product varieties and differentiation. So that helps us a lot for new lines and it's cost pressure of our customers because new lines will simply have a better cost structure than old lines. Then there is, of course, our new factories coming up in China and in India. That has -- if we say new factories, that has to do we can actually better compete with local competition. We are still, for example, in China, the #1 in terms of revenue, but we have, let me say, growing competition, and we need to get on the price levels of our Chinese competitors where we can get really close to and have a bigger scale of, let me say, equipment being built in China. Same is true for India. So on those 2 factories, we have hope and they have to deliver contribution of it. And then the most important one is innovation. And if you look to what you have seen on Drinktec, there is this new line type, but it's not, let me say, a machine or a line because of it's a new line. It's about getting more share of the life cycle revenue of our customers. Of course, we are going to take more responsibility. But if you look to the utilization of our installed base, that is a significant proportion on the growth we have. So if you look to all of that, that's quite a big proportion, which is coming along. I have to add, we all the time had some acquisitions being built in. They are, let me say, on reasonable scale, EUR 30 million to EUR 70 million. That's the ideal sweet spot for us in the sense we do acquisitions, so that might be not overweighted into what we are going to see until 2028. But nevertheless, it's part of it. And then there is one other big thing Uta referred to that already. That's the FX because if we look to that, and if we would see the FX effects in 2025 and 2026, we are close to EUR 6 billion with the guidance in sales with the guidance we have given for 2026. So if you look to all of those factors, I think this is a reasonable number. And if we see then around EUR 7 billion being possible in terms of revenue, that will be a, let me say, a reasonable number from our point of view. Certainly, for the time being, with the FX effects more difficult to achieve. But nevertheless, I would say, for the time being, we have no reason to see that our fundamental underlying, let me say, factors out of the markets would not work. That's the statement I wanted to do here and to express that very clearly. So I would say with that, we are through our presentation. I mean, key takeaways that's a summary of the presentation. I wouldn't say that we are going to refer that once again. I would move directly on to Q&A. Thanks for listening.
Olaf Scholz: So thanks to Uta. Thanks to Christoph for these information about the actual figures and the outlook.
Olaf Scholz: I already got on my list Adrian Pehl from ODDO with some questions.
Adrian Pehl: So actually, first of all, a question on what you mentioned in terms of the dynamics in China. I just want to make sure to get that right. So basically, the development that we saw throughout 2025, is that rather a function of the investment cycle of Chinese customers? Or would you say that you have been losing share? I mean I hear you that the situation on the order book side is improving. But how do you see your market position going forward in China? And the second question is linked to a little bit the slide, obviously, that you showed on the free cash flow development. I just want to make sure on the CapEx side of things, what should we expect for 2026? And how is the phasing of the CapEx given that you are ramping up your capacity throughout the years? I'll start with these 2 and then I jump back into the queue.
Christoph Klenk: First to where we are in China and how -- if we look closer to the market, how do we have to see the market there? I mean, first of all, to give general questions of the Chinese market is very difficult because you need to see it different in the different, let me say, beverage categories. And we have to see it, of course, different in the, let me say, various products we have in the Chinese market. So it's a different route. But if I look into channel, I would say China has had over the last 5 years, a bit up and down. So we have been on a higher investment level than it has been a bit going down. It has been a bit going up. But if we look to a long run, it's pretty stable. And I would say the investment patterns of our customers is on a very comparable level. Now if you look to the future, I mean, China is right now in terms of investments dominated by aseptic bottling lines. The Chinese market has some specialties. And if I look back the last, Krones had a bit of a shortcoming because we didn't have aseptic lines localized. What we deliver out of China is PT lines for water and CSD, which was working well and everything included. So from, let me say, the end -- from the beginning to the end. And now the next step, and this is becoming true in 2026 are aseptic lines out of China because the market is significantly growing. Historically, we have been the biggest supplier of aseptic lines over the last 20 years in the Chinese market. We have around 250 systems installed in the market. Then it has been going down a bit and then it has been going up. And we have a disadvantage of what I just said, no local production, but this is coming up right now. So I would say, if I look to the future, there's a better fundamental on which we sit in terms of the local supply, we can supply out of the market. And we have strengthened our technical, let me say, ability in China in addition. So I would say there is a good potential for the future. And second, we have been working on the other side of the product portfolio that we get a bit of, let me say, more simple products out of the Chinese operation to serve -- to begin -- I mean really to say to beginning to serve the market better. Now if you look to the order, let me say, behavior of our customers, this is a quite competitive market. And then I would say this is changing because we have seen customers being good 5 years ago, they have lost really market shares and others have taken them. Fortunately, because of the long term, we are already serving the Chinese market and a good customer relationship, we don't care too much which customer is at the moment investing or not because we have access to all of them. And we have a specific program in place to get customers on board, which we didn't know yet because they are new customers. And we are having a team observing the local competition in detail just to understand what we need to do in order to get with certain customers an order, which is not all the time only the product. It has a lot to do with the services we supply around the product. I hope that gives you a taste where we are in China.
Uta Anders: I take the CapEx question?
Christoph Klenk: Yes.
Uta Anders: Adrian, it is what we have communicated also throughout the conferences. We stick to our 4%. That's also the bottom-up plan we have. And I mean, we have mentioned all the investment cases, but projects we are currently undergoing. Christoph talked about the strategic importance of India, but also of China. We spoke about the U.S. that's where money goes into when it comes to CapEx, but also here in Germany, I mean, investing into a new warehouse here at our headquarters, but also investing more automation into our machining facility close by. So those are the big tickets, and they end up at 4% as we had planned it all the time.
Olaf Scholz: So thanks to Adrian. The next question, I just see a phone number starting with 44. I don't know.
Christoph Klenk: Somebody from the U.K. that's obvious.
Olaf Scholz: That must be U.K. number, yes. It's a U.K. number and then next is 7407. But let me skip to the next one, which is [ Vitor Shen from Iberbell ].
Unknown Analyst: So just regarding the outlook provided, I was just wondering of the composition of it. I mean, is it possible to split it a bit? I understand that it's communicated in local currency. And thereby, can you elaborate a bit more on how much, I would say, it could come from pricing and how much from volumes? And also if M&A is [ loosely ] part of the strategy for 2026 as well, if you could get some color on that? And the next question will be on the EBITDA margin. So you're enhancing them. And is it possible to elaborate a bit more regarding the drivers implying the improvements, notably the cost optimization measures? I have seen in the presentation that personnel expenses were increasing relative to total performance, while material expenses were decreasing. So can you please shed some light on this as well? I mean is this trend going to be the same for the coming year or not?
Christoph Klenk: So if you look to the, let me say, a more detailed split of the 2026 perspective we give. I mean, number one, we do not see significant changes on, let me say, the markets we are going to serve, okay? So I would say the composition will be pretty much the same. And that's the reason why we see -- once we see currency on the same levels as of today and the changes that currency impact, and that's what we're actually stating might then be very comparable. If you look to the composition of, let me say, our segments, even this composition will be pretty much the same. I mean, with the growth of what we have said, this will be pretty easy to calculate. If you look now to our main segment in terms of machines and services, which we do not separate there, even there, the composition will be the same. There might be small gainings in terms of the life cycle because that's important for us, but that's the beginning, it will be pretty small. So I would say even this composition will be pretty much the same. And if you look to pricing, there is very little in terms of pricing included. We keep prices stable. And even in those areas where we had historically, I would say, better and fast price adjustments, which is the spare part and life cycle business, even there, prices are pretty stable because customers do not accept that we are raising pricing for the time being. I mean we are fighting -- and I said it in the beginning, we pay a strong attention that pricing is not eroding. That's our target. But if you look to sales in total, there's no pricing effects being included. So I hope that gives you for, let me say, this category a point. And if you look to the strategy to 2026, I mean, if you look to the overall situation, we have been, let me say, driving the company significantly by growth in a pretty large scale over the last 4 years. Yes, that's a bit less than in the past. But if you look to 2026, we have big initiatives in the markets that we go more in specific cases of the market that we strengthen, for example, namely processing that we say we have -- we are going to attack certain markets stronger. We have for categories of processing, different sales forces being in place, which are coming just to make sure that we maintain the growth. Same is true for Intralogistics. And if we look to our core business, it's about what I said that in 2026, the factories in China and in India are going to be started up. That's an important factor to serve the markets closer. And of course, as always, we are building stronger footprint into life cycle around the globe just to make sure that we are going to harvest on the installed machine base and getting more share in the service section. I would say that's my summary. Okay. Thanks. Uta?
Uta Anders: I wouldn't have said it as such.
Christoph Klenk: Good. M&A is something which we certainly look into, which might be as well part of it. Did I read it right, what you said? Yes. Good. Then we go to the...
Uta Anders: Then let's go -- let's look at margin expansion. I mean, 10.7% to 11.1%. Actually, it's compounded by various developments. First of all, let's look at payroll. I mean I mentioned earlier staying around 30% is important for us. I mean, despite of staying at around 30%, we expect as an absolute number, an increase in payroll just because of, for instance, collective bargaining agreements, which is around, but it's just an approximate number, 3%. Then on the other hand, and I have communicated that also throughout our conferences, we expect decrease in material cost. And why are we certain that we can achieve that? Because already last year, so 2025 in summer, we have actually closed quite some deals in terms of securing steel, for instance. And we are not only securing that for us, Krones, but we have also secured it for some of our suppliers, which then gives us a leverage also on some of the supplies we get. So that is important, and we have also hedged copper. So that's the 2 major components of our cost base. Then I mean, we will not have a Drinktec in 2026, which also has a certain effect. I mean you know it was around, but it's just an approximate number, EUR 10 million last year to EUR 25 million. So we will not have that high amount in 2026. And as a fourth lever, we will have only a moderate increase in FTE in 2026 compared to 2025, so very moderate. And then last but not least, we have always talked about the strategic measures we are executing to secure our margin, to secure our performance. And we have spoken earlier about CapEx. I mean, I have spoken about our machining plant. And there, we are increasing the level of automation, which helps us also then to increase operational efficiency, just to name 5 reasons why we -- or 5 portions why we believe that the EBITDA can increase as a margin. Does that answer your...
Olaf Scholz: The next question is coming from Lars Vom-Cleff from Deutsche Bank.
Lars Vom Cleff: Two quick ones, but I guess the first one you already answered. I mean, looking at your organic growth guidance for this year, 3% to 5%, if I understood you correctly, you said pricing is stable, so that it will be fully and solely driven by volume effects, correct?
Christoph Klenk: Yes, correct.
Lars Vom Cleff: Perfect. And then, I mean, more and more of my companies are worried or starting to get worried about chip prices rocketing, potential supply chain bottlenecks. Would you see that as a risk for your company as well? And if chip prices stay on this extremely or far elevated levels they are currently or some of them are currently trading on, would you be able to pass on the additional costs to your customers?
Christoph Klenk: First of all, I would say we, as a management, and this is maybe one of the learnings out of the last 5 years that you worry all the time about your supply chain. But nevertheless, I would say we see no hurdles at the time being that we are not capable of, let me say, getting those components on board, which we need for our production. And out of this learning from the last 5 years, we have a totally different view on supply chains because we -- our arrangements would have said it earlier that we are going to hedge material and making these on a much longer period than we have been doing that in the past. We have included our suppliers, and this is even to the chip question, even for all the suppliers because we don't buy any chip direct. So if we buy chips, they are either in the PLCs, which we get delivered from Siemens and others or in other electrical components, which we get supplied again from Siemens, from B&R and so on. But what we have is, we are sitting with them and to look deeper into their supply chain. And I would say the fact that we have been all the time concerned that the Taiwan and Chinese issue might come up that we have secured supply chains in, let me say, different quantities and different time periods than we have been doing that in the past. And this will help us over a pretty long period if things go south that we can: a, maintain pricing and; b, can maintain supply. I don't want to go more in detail into what we have done there, but it's at least beyond one business year. That's the important message we sent here. Second, this is another learning once pricing of certain components goes out of the frame, like chip pricing would go up. And we can explain that to our customers. We have gained significant experience in translating material cost increases once they are reasonable and can be not compensated by other sectors of material costs that we can translate that into pricing. This is still, let me say, a procedure. We do every 6 weeks, controlling procurement and sales. Is there anything which we need to translate because that was one of the learnings out of the, let me say, supply chain crisis. Once we look early into that and address it early, we can manage even, let me say, significant price changes in the supply chain reasonably. So I hope this gives you a taste on how we are going to manage that. And I wouldn't say that we are fully protected to all of this because we all know that the prices might come up. But at least we have prepared in a reasonable manner for such kind of incidents which might happen.
Olaf Scholz: Christoph Blieffert from BNP.
Christoph Blieffert: Can you give us some idea about the revenue contribution for the new Chinese and Indian factory, please in '26?
Christoph Klenk: Very simple, India will be very low because these are actually most probably for the time being, what we see today, 2 lines, which are built in India and being then shipped to customers. So if you look to the overall revenue, it's small. It's more for, let me say, if we look to order intake in India and the agreements we are going to do with our customers, and this will actually pay off 2027 and 2028. For China, I mean, today, we are doing a low 3-digit number revenue in China locally. And I would say this is going to be [ extended ] by 10% to 20% in 2026. Why is that? Because the factory goes into operation by July. And I would say, until we have it in really full speed, it will be October. But nevertheless, we are doubling the capabilities in China for 2027. And this is what I said earlier that we are even going to localize our aseptic business there, which is a significant proportion, which can even add then another, let me say, 50% to what we are going to do in China. So it will be quite a significant proportion. I think there will be a chance in one of the next meetings to show you some slides how this looks like. This is a factory, which is really big. And at the end, we are talking about increasing our headcount in China until mid-2027 from today, roughly 1,000 to 1,500.
Uta Anders: But small in 2026.
Christoph Klenk: Small in 2026. Yes.
Christoph Blieffert: You have been highlighting the negative FX impact of again, some EUR 99 million in '26. This is based on the current exchange rate levels?
Uta Anders: So the EUR 99 million is '25. That's what we have highlighted. And this was just the difference between the average exchange rates '24 to '25. So translated them with the same exchange rates. And actually, most of it comes from the U.S. dollar, about half of a significant portion. And '26, yes, we expect a similar level. Does that answer your question?
Christoph Blieffert: Similar level means again [indiscernible] close to EUR 100 million? Yes?
Uta Anders: Like we had it in '25, yes, around EUR 100 million.
Christoph Blieffert: And if the exchange rate remain on the current level, would you have to adjust your 2028 targets?
Christoph Klenk: That's a good question because we can answer that when we know how the exchange rate will remain, let me say, later than 2026. But I told you earlier, I mean, we are keeping this target of around EUR 7 million in place, okay? And how much we might be short because of FX effects, I can't tell you today. We always the statement, we believe in the growth of our market. There are potentials which we can actually lift ourselves. It's not only market related. And since I have been explaining that, we would not make the statement at all that we are, for the time being, skip any of those targets. I mean there are many unpredictable things in front of us, but we have seen that world economy is for us, in our market is quite stable. And we believe we have talked that up and down. We still believe in that target, and we stay with that even with the FX effects in place for the time being. And please allow me that do not take the notions in for the time being. I have to be really careful because there any word is interpretated. So we stay with the targets of around EUR 7 billion in 2028. That's important.
Olaf Scholz: Now we identified the number from U.K., Constantin Hesse from Jefferies.
Constantin Hesse: Yes. Sorry, I had some issues with Teams. All right. So I have 3 questions. I would love to start with the medium-term guidance, one. So I already heard that on the call, you talked about order intake in Q1 looking good. So what I want to understand for '26 because clearly, there has to be some kind of growth cadence into that about EUR 7 billion figure in '28, meaning that order intake clearly has to be above 1x book-to-bill this year. So what I want to understand is what visibility? And are you actually seeing a pick up in order intake where you could today already give confidence that '27, we could see an accelerated growth relative to what we're seeing currently, obviously, assuming no further FX headwinds?
Christoph Klenk: Well, visibility is certainly not up to 2027. I mean visibility, if I might explain that, how we -- what kind of visibility we have and how we deal with that. We have 3 measures: number one, discussion with our customers to understand those our own analytics. That's one package, why we actually look into the markets and how we think that we see investments coming. Then second, we have the more short-term view, which might go, let me say, until end Q2, beginning of Q3. And this is how many quotes we have out and how the pipeline looks like. And saying that this includes as well that we look into how much is the lost order rate we have because it's important, is there enough volume in the market and we are losing because of other reasons? Or is the market, let me say, as such not intact? But what I can say as of today, and this was true even for 2025, volume is not an issue. If my sales colleague would stay here, would say, Christoph volume is no issue at all, just pricing is a problem. But this is my second statement. We want to maintain pricing. So this is all the time a bit of a, let me say, a different balance we need to keep. And number three, short term, why I say Q1 is okay, we are mid of February. We know the orders we have already on hand. We know what is out there, and we know what we usually gain or lose. So I think this is something where we are usually pretty good in predicting that. But 2027 is staying significantly on the measures we have in our own hand. What I said earlier, the factories we are going to build, the innovations we see, the life cycle we want to extend, the processing where we see big potentials in the market that we can grow further and even Intralogistics, which has been doing great for us, where we can grow on. And we have then, let me say, Netstal, what we call advanced molding technology, where we see options and some smaller, let me say, growth areas where we are going to grow. So if we put it only on what we know from the market, this would be not enough for us to see really the case. And yes, order intake, of course, has significantly increased in 2027. That's no doubt about. And this is something we have in mind once we look into the statements we have just given.
Constantin Hesse: Fair enough on '27. But then just rephrasing the question, keep it simple, Q1, Q2, Q3, which is what you have visibility on, you're confident that book-to-bill is above 1?
Christoph Klenk: As confident as you can be with all the history and, let me say, the know-how we have. We have not yet the orders for Q2 and Q3 in our hand. But again, pipeline is good. We have been, I would say, any week in discussion, is that sound what we have planned to? Do we -- can we stick to it? Is there other reasons why it should not work? But from all what we know, things are looking pretty good for the time being. I promise I wouldn't give too long being in the business because we all know that Iraq, Iran -- sorry, Iran and the Middle East is, let me say, under pressure for the time being for us, an important market. I would predict that there is a reasonable reason -- or let me say, it's reasonable that there will be a strike, which would be then serious for our business. So that might be some of the downside. But if things could go normal, yes, I'm quite confident that we are going to get our order intake.
Constantin Hesse: So second question, just on cash levels. We're reaching close to EUR 550 million in net cash. So I'm wondering, is there -- in terms of M&A pipeline, is there anything potential coming up that could be larger? And if not, at what level of cash would you start considering returning cash to shareholders?
Christoph Klenk: First of all, I mean, we have proven over the period that we have been using the cash for possible M&As. And I would say, on the other side, we are very careful in terms of our cash positions because we all know that this is something very comfortable once you have it in particular on times get a bit more shaky. But I can say we are -- how to say, we are working on M&A projects. However, we do speak only in case they are just before becoming true. So these are things which might come up. And we have -- sorry, when I say that not yet considered to pay extra dividend to our shareholders because we believe the reinvestment in the company is going to happen. We see things which could be done in the market in terms of M&A, and let's see how this continues through 2026 and 2027. So I don't think we come into the question whether we have to use our -- or we have to give our cash to pay it out to the shareholders.
Uta Anders: Yes. And also with the profitable growth, we believe our forecast shows that the payout ratio or payout per dividend is going to increase. So that is the lever where we believe that this is beneficial for our shareholders as well.
Constantin Hesse: And then just curious around the free cash flow development. I mean, you said that you're being conservative for 2025 -- 2026, sorry. But just to understand the dynamics of it because from today's perspective, I mean, because you basically confirm the '28 guidance, I would assume that orders start accelerating in '26 in order to have the book to grow in '27. So looking at the free cash flow development, what is holding you back from generating a free cash flow that is similar or even above 2025?
Uta Anders: I mean, yes, we're going to invest further 4% of revenue. That's also what we plan for 2026 and also the years beyond. I mean for working capital, I mentioned earlier, a level of about 18%, which is an absolute increase also for 2026. Of course, we're going to generate good levels of cash flow from operating activities. And so we expect a good level. And why is it in our expectation lower than it is for 2025? I mean, you may remember that for 2025, our expectation actually was a bit lower as well. So that means we have generated more cash flow. And I mean you can cash flow only generate once. So there's maybe also some effect -- some small effect from '26. But overall, we expect a very good cash flow development for '26 as well. Some, as my colleague may say, also conservatism in here, but we believe it's going to be a good one as well. And we don't guide it. I mean it's, of course, indirect part of our ROCE guidance, but the free cash flow, we don't guide. We just give an indication on the expected development.
Constantin Hesse: Christoph, can I quickly just -- Christoph, can I just ask very quickly? You said Iran, obviously, is an important part of the business. If there is potentially a strike there, is there any -- what's -- I mean, any idea that you could give us in terms of what the potential impact could be?
Christoph Klenk: First of all, when I look to Iran, I mean, I'm looking more to the countries, let me say, aside from Iran, like Saudi Arabia and Israel. So I do not talk about Iran. That's from a business perspective, not important. So I was more looking to the uncertainty which brings that to the region because if you look to our Israelian and Saudi Arabian friends and customers, I mean, if such a strike would go to happen, they are concerned whether their countries would be attacked. That's the reason behind it. And I would say our customers are in this region quite robust to whatever weaponized conflict they are going to see. Nevertheless, a bit of an uncertainty might be if, let me say, such a counter-attack of Iran might jeopardize those areas. And I would say it's limited to those being around Iran. And -- but if I really can figure out what the impact would be, I can't tell you. I would take it around. I mean, if you look too, we have digested a 10% decrease in order intake in North America because of the tariffs. And we have been able to compensate that in other areas. And I would see that other, let me say, areas of the world, and I would name Asia in particular, have a big potential for 2026. And again, I wouldn't promise it, but I would see potentials to compensate in other areas as well. And that's the reason why we still stay pretty sound on our statement, book-to-bill ratio will be slightly above 1.
Olaf Scholz: And the next questions come from Sven Weier from UBS.
Sven Weier: I'm sorry, I have to follow up on the revenue guidance, and I'm probably the only person on the call who hasn't understood it yet. But the 3% to 5% guidance that you give, is that already after the EUR 99 million? Or do we have to deduct it so the real guidance is 1% to 3%?
Uta Anders: So first of all, the EUR 99 million is '25, but I said it's a similar number for '26 and the 3.5% is not after the EUR 100 million, the similar number, you have to deduct it.
Sven Weier: Okay. Good. That's what I thought, but I just wanted to confirm that. And then the other question also on currency because you said U.S. is down 10%. I mean, is that an organic figure? Or is that including the negative currency effect? Because otherwise, I guess, you would be kind of...
Christoph Klenk: Yes, yes, including. Including. Including.
Sven Weier: So organically, you've been actually quite flat in the U.S. despite all the trouble?
Christoph Klenk: No, it's half-half. It's half-half. It's half-half. If you look to the numbers on order intake, what I just said, I would say a bigger proportion is tariffs, but it's certainly a proportion is currency. Yes. But nevertheless, this is not -- you have to look into -- currency is an order intake, not so big issue. It's just a translation effect, which we usually have once we translate P&Ls from the U.S. into Germany. Because on the orders, we are dealing with the numbers we have in the quotes, very simple. And we don't translate them because if we quote bottling lines to the U.S., we have here a euro quote, so if we count. We have not the U.S. count. Once we quote out of the U.S., of course, it's U.S., and we do not translate that at all. It's just a number we see. So order intake has not so a big effect of FX than actually the sales because we don't have the, let me say, exact translation.
Sven Weier: And final question for me is just if you could share what kind of beer exposures do you still have left? I mean we all can obviously see...
Christoph Klenk: That's a good question.
Sven Weier: The issues that the beer makers have and it doesn't seem to keep getting better, the generational issue, I guess. So has it become quite small already? Or what's left in beer?
Christoph Klenk: First of all, I have to say, complement how you phrased the question in the sense of what beer percentage we have left and beer exposure. This is really good. 2025 was really bad on it. If you look to it, I think it would have been around 20%, maybe beyond -- below that. But interestingly, we have received this year quite good orders from the beverage -- from the beer industry. So I would -- if you look to purely Q1, this would be on old levels, maybe between 25% and 30%. But all in all, we do expect that beer is, I would say, on a 22% to 25% level in our portfolio. And it's still decreasing since Intralogistics is growing, and we have been actually in processing, not growing at all in the beer that has become a pretty small business in the processing. I would say -- and I can say the number that's pretty easy. We have around EUR 120 million in the processing business being exposed to beer, not more anymore. Where we are coming from, I would say, EUR 300 million. So that has been compensated all by other, let me say, activities outside of beer. And in the core, I would say it's pretty stable because bottling lines are more replaced than brewhouses.
Sven Weier: And what is the nature of the order that you got? I'm just curious, I mean, if these guys invest, what are they still investing? Is this an emerging markets order or developed markets?
Christoph Klenk: To be honest, it's all over the place. So we have orders from Europe where we have very old equipment being replaced from well-known breweries, but it's as well in Asia, where we have received orders, and there is still some orders out there in Southeast -- in South America, where we believe those orders are going to materialize in the next 3 months as well. So it's all over the place. And I have to say maybe that's interesting for you in the audience that in particular, the German brewers have been quite active in ordering equipment and getting on better cost levels. So I would say they have been -- had a lot of courage into what they are going to do. So in particular, in Germany, investments in breweries have been pretty good in 2025. And the same looks like for 2026, even if you look to the market development, which is not so good all over the globe, it's, I would say, a lot of hesitation for investments into breweries.
Sven Weier: And is that around also a lot of energy efficiency and those environmental topics, let's say?
Christoph Klenk: I would say it's more economical reasons that they, in many cases, bring 2 lines down to 1 with higher speeds, higher efficiency, getting better, let me say, economics because they have less people in. That's more the investment scheme we see right now. And there is still some very old equipment out there in case you look to bottle washers, which have, in their case, they are 25 years old. They have a significant amount of energy consumption where they just because of energy reasons, go to reduce that energy consumption of pasteurizers; if they are old, they are horrible in terms of what they consume in water and heating.
Olaf Scholz: And a little question, I think I see from Adrian, Adrian Pehl.
Adrian Pehl: Actually, a very quick one on Intralogistics. Obviously, I mean, you want to grow the business still quite substantially. So you achieved 8.4% margin in this segment last year. So I was wondering why should we assume that the margin is not going to see more momentum on this one? Is that due to mix? Or how should we see this?
Christoph Klenk: Yes. I mean Intralogistics from a, let me say, profitability standpoint, let me say, and I would call it commodities, which I call hybrid warehouses has been over the years under pressure. And what we did and this we stated as well on our Capital Market is that we looking into, let me say, more advanced order picking systems and that we have moved, let me say, the portfolio significantly. Then we have, let me say, a momentum that we are exploring new markets in Asia, while we have on the other side, the mature markets in the U.S. But I would say, if we look in comparison with, let me say, comparable product portfolio structures, we are doing pretty well in terms of the profitability. And we wouldn't see Intralogistics necessarily being in the short run on the same profit levels than we see the core. That's a fact. And I wouldn't say anything wrong in case I would make the statement that's going immediately in the right direction. So I would say the profitability we see we are quite happy with. It was quite an effort to be there. And I would say we can grow certainly further because and this adds on the margin because even our service business is growing, and this is not parts in this particular point. This is more software upgrades and helping people -- customers out with crews running their installation. So there's a different business model. Again, if we grow an installed base, I think we have a better chance in grabbing the aftermarket business, which is highly profitable in that section. And in the long run, I see a good development in terms of profitability as well, but it will be not in the short term.
Adrian Pehl: All right. And very last follow-up, actually on the service share in general for the group. I take it that actually the service share increase is probably more pronounced as of 2027 as well and more or less like -- I think the line of communication so far has been 2025, 2026 rather not a significant increase on the service side. Is that correct?
Christoph Klenk: Yes. I mean if we talk about significant, it's a question of what is significant, but we are growing our service business. So it's still growing. It has a very solid fundament. And if we look to the first 2 months, things are in line. Is it, let me say, that you see a huge momentum in sales? No, it's a kind of a very constant development. And we would see that even over the period of 2027, 2028. In life cycle, there is no, let me say, big jump. It's more an evolution rather than really an explosion what you might see. Even with the new lines we bring up, I mean, we are going to ship 8 of those by the end of the year, beginning of next year, which we are harvesting on. But if it's really completely having scale, and we stated that all the time, it will be 2027 to 2028.
Olaf Scholz: So let me check the channels or ask a [ community side ]. I don't see no hand raising, also no mails from my mail server, so Christoph [indiscernible].
Christoph Klenk: Again, thank you very much. We are beginning of the year. As always, there is, let me say, a realistic optimism. We see and you have heard from the statements we have made. We are, I would say, as we have been always quite committed to the numbers we have given. A lot can happen, of course. But nevertheless, we managed that and compensated that with the markets we have. So we are looking with realistic optimism forward and even looking to listen to our 2028 numbers. Thanks a lot for staying with us and having your questions. It was a pleasure, as always. Thank you.
Uta Anders: Thank you very much.
Olaf Scholz: Thank you.